Operator: Greetings and welcome to the Markel fourth quarter 2009 earnings conference call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. (Operator instructions) As a reminder this conference is being recorded. It is now my pleasure to introduce your host, Steve Markel, Vice Chairman for Markel. Thank you Mr. Markel, you may begin.
Steve Markel: Thank you very much and I'd like to welcome all of you to Markel's fourth quarter conference call. As I think you all know we've released year end results yesterday afternoon and for the next hour or so we'll be happy to chat about them. Before I get started, I'll read our normal Safe Harbor statement. During our call today, we may make forward-looking statements. Additional information about factors that could cause actual results to differ materially from those projected in the forward-looking statements is described under the captions Risk Factors and Safe Harbor and Cautionary Statement in our most recent Annual Report on Form 10-K and quarterly report on Form 10-Q and then in the Safe Harbor statement in our press release at February 3rd, 2010. Our press release which maybe found on our website at www. markelcorp.com, also provides a reconciliation to GAAP of certain non-GAAP financial measures, which we maybe discussing in today's call. Our procedure today will be very similar to prior periods after a couple introductory remarks on that part, Richie Whitt will walk us through the financial results, Tony Markel will talk about the insurance market place and some of the operating issues that we're facing today, Tom Gayner will share about our investment results and what we're doing in the investment side of our business and they'll come back to me and I'll moderate our question-and-answer session. As I think you all know, 2009 provided us with the very challenging economic environment and that coupled with a very, very competitive, very price competitive insurance market place resulted in Markel's gross written premiums declining 14% to $1.9 billion. While, the top line is important and we are doing everything we reasonably can to write business and provide quality service and excellent products to our customers. Our primary focus continues to remain on profitability. In spite of this environment, our 2009 result are very good. The headlines net income is $20.53, combined ratio was 95%, growth and book value for the year was 27% and at year end reached $282.55. And most importantly, the five year growth in book value per share was 11%. While, 11% doesn't sound very exciting in real terms, it is a very, very strong result when you consider the environment we've been in for the last five years. Most importantly Markel looks over to a very, very profitable future and we foresee continued growth and hopefully a better ways in our book value per share. With that I'm going to turn the floor over to Richie Whitt and he can walk you through the numbers. Richie?
Richie Whitt: Okay. Thanks, Steve, good morning everyone. I'm going to follow my usual format and I'm going to focus my comments primarily on year-to-date results. I'll start by discussing underwriting operations, follow that up with the discussion of the investment results and then of course bring the two together with a discussion of our total results for the year. Steve really touched on at the themes for the first nine months of the year largely carried through to the end of the year, the economic conditions and strong competition continued to negatively impact our gross written premiums volume. The financial markets rebounded significantly and we ended the year on the strong note from the investment side of the house. So let's move right into underwriting. Gross premium volumes decreased 14% to $1.9 billion in 2009 compared to 2008 this was partially due to some currency movements over the past year, excluding the impact of these foreign currency movements on our London market business, Markel's gross written premiums volume was down approximately 12% due to three factors. First, reduced business activity as a result through recession has clearly led to lower premium, second, continued strong competition in most of our market segments. We have worked hard to maintain underwriting integrity during 2009, and our results were basically flat for the year. Third, we successfully converted to our One Markel regional structure at the end of the first quarter. However, the transition to One Markel necessarily required us to divert some of our focus from our marketing and sales efforts and our buildup to the Go Live. The bumps from One Markel is starting to smooth out nicely and we're seeing some very encouraging signs from the transition and I'm sure Tony will be talking about these shortly. Net written premiums decreased 13% in 2009 to $1.7 billion. However we were able to increase our retentions to about 90% of what we write compared to 89% last year. Earned premiums decreased 10% to $1.8 billion compared to 2008. Looking at our combined ratio, our combined ratio was 95% for 2009 compared to 99% in 2008. I would like to point out that we have produced under writing profits in six of the last seven years the only mix was in 2005 when we had 101 combined ratio as a result of Hurricanes Katrina, Rita and Wilma. The 2008 combined ratio included five points of losses from hurricanes Ike and Gustav. The 2009 current accident year loss ratio was 68% compared to 66% in 2008 and that excluded the effects of 2008 storms. This increase was due to price decreases over the past several years as well as some adverse trends in the current economic environment we mostly noted this in our architect and engineers book of business. The 2009 current accident year to loss ratio was partially offset by prior year redundancies of $335 million over 13 points primarily in our excess and surplus line segment and that was in our professional and product liability programs primarily and also in our London Insurance Market segment. This compared to $163 million or 8 points of redundancy in 2008. Our expense ratio for 2009 increased to 40% from 36% in 2008. First the cost of implementing of One Markel business model and related systems that represents about two points on our 2009 expense ratio, it was about one point in 2008. For 2010 we would estimate that our One Markel systems project is going to be about three points on our combined ratio. 2010 should be about the high point of spending on the systems for One Markel initiatives. Lower earned premiums also adversely impacted our expense ratio in 2009 these factors were partially offset by lower profit sharing expenses in 2009 compared to 2008. Turning to our investments results, investment income decreased to $260 million from $282 million in 2008. This decrease was due to lower yields on the investment portfolio and in addition we increased to our allocations to relatively low yielding cash and short-term investments. In the fourth quarter of this year and continuing in the first quarter of 2010 we began to reallocate cash and short term investments to our long-term portfolio. Investment income in 2009 included a $3 million mark-to-market gain on our credit default swap and this compared to a $14 million loss in 2008. Realized losses were $96 million in 2009, primarily comprised of $90 million of write downs on other than temporary declines in the fair value of investments. This compared to $408 million of realized losses last year. Unrealized gains increased $567 million pre-tax during 2009. Tom will obviously go into much further detail in his comments shortly. Pulling our underwriting results and investment results together looking at our total results for 2009, we reported net income $202 million compared to a loss of $59 million in 2008, as Steve said book value per share increased 27% during the year to almost $283 per share at December 31, 2009. And this does represent in all time high book value per share for Markel. Turning to the cash flow and the balance sheet, I have a few comments to make. Regarding cash flow, operating cash flow was approximately $280 million in 2009 compared to operating cash flow of just under $400 million in 2008. The decrease was primarily related to our lower premium volume in 2009. Regarding the balance sheet, we held out of $1 billion of cash and investments at our holding company at December 31, 2009. Also I'm sure everybody is aware and as seen in the releases we made three acquisitions during the fourth quarter of 2009, first was Elliott Special Risks and MGA in Canada that was purchased by our Markel International, international segment, Markel ventures made two purchases during fourth quarter, Panel Specialists, Inc and Ellicott Dredge Enterprises. Total consideration for the three purchases was approximately $150 million and also I should point out that we are consolidating the operations of all these entities and have included the results in other revenues and other expenses on our statement of operations those are new captions on our statement of operation. In addition to be more consistent and have more transparency we previously did not consolidate AMS due to in materiality going forward this quarter for AMS is also being consolidated into our operation.  At this point, I'd like to turn it over to Tony to discuss insurance operations. Thanks you.
Tony Markel: Thanks, Richie. The fourth quarter was a very active one on many operational funds, but candidly on the service and then the numbers our progress is not immediately measurably evident. Everybody is aware the economy, which really its shown any subsequent to rebound and the property and casualty insurance sector continues to be over crowded, over capitalized, over competitive, overly buoyant and under reserved. And as I stated unfortunately in the last quarter we've really not expecting even one of these environmental encumbrances to change in the near term although there is no question in my mind. That they will eventually turnaround and improve. That said, we have been hard at work and made significant strides into various initiatives to reinitiate growth in our top line without compromising our steadfast commitment to underwriting profit. Allow me to elaborate on each of the three operational divisions, the excess and surplus lines, we admitted specialty arena and the London Insurance Market. Most of the focus as you've gathered from last two to three quarters has been in the E&S segment our wholesale channel sector where we have aggressively continued to progress of transition to the One Markel platform, which as you're all aware I'm sure was the complete makeover from four separate operating profit centers to six regional offices recognizing that we have two offices in the western region. With the ultimate objective making Markel easier to do business with and offering our entire and growing array of products to all of our customers to all of our appointed wholesale partners. In this regard there's been a great deal of activity, our recruiting efforts to bring in top talent in both the regional offices and the supporting underwriting product line leadership has been wide hot resulting in a number of additional new outstanding associates and putting us another step closure to full staffing. In addition, now that the underwriting platforms and each of that 20 plus products have been laid out, the product line leadership has begun to concentrate on training and mentoring their emissaries, the lane underwriters in the regions. Our goal here is to have the requisite experience and expertise in the region to be able to quote 95% of what submitted by wholesale partners at the regional level, without having referred to the product line leadership and we're gaining on that objective. Addition, one of the strengths in our organization has always been to continue to broaden and update our product offerings. We've been extremely active on both fronts in terms of additional products we've added a new product leader by the name of Sal Pollaro, who will be starting a new division writing mid segment D&O in the United States with a kick off expected some time around mid-year. We've added Nick Bayliss as a new transportation product leader, who will broaden our current limited offerings in automobile. In addition on virtually every one of our legacy products, we've challenged terms, conditions, authority levels all with an eye toward identifying eliminating any odd official incumbencies to writing more profitable business. The Atlas initiative, which is the technology platform that we service a newly amalgamated excess and surplus lines division, One Markel enabling us to eliminate the four inherited legacy systems and provide state of the art info for both our people and our wholesale partners continues to make great strides and development. There is a real excitement on the part of both our people and our wholesale partners as we've been able to start looking outward to sales and marketing as opposed to the inward structural focus that we've on necessity had over the last nine months or so since we pull the switch in the conversion to One Markel. Over to Specially Admitted segment production initiatives instituted over the past year is starting to pay dividends on our legacy product while we will continue to look for new products and enhancements to our existing offerings and in London they are not just basking in their recent underwriting successes that Richie described, the amalgamation of Elliot Special Risk, the acquisitions that we announced last quarter continues with enthusiasm on both sides and the continuity of our team, which is now and its close to 10 years of development is continuing to pay dividends. World wide the pipeline for acquisition continues to be pretty robust although in our minds there still remains a naivety with regard to valuation. We expect this cavalier attitude to diminishes this soft stressful market place continues and would expect as I indicated last quarter that acquisitions will play a major role in their future growth. On a closing note, we just completed four days of meetings with 30 of our wholesale producers in an effort to continue to [seam] the relationship with them to further flesh out our vision for One Markel and the strong franchise that that represents and more important than either one of those factors get a frank constructive report card on how we are doing in this transition. I'm happy to report that two of person they've all acknowledged tremendous strides on virtually all fronts in the transition, not on unexpectedly, however, and our business creates some sort of job security we still have a lot of work to do, but our agents get it. They know how valuable the One Markel appointment is going to be and is growing at this time and they're working closely with us to realize the full vision of this ambitious undertaking. So with that I'll be glad to answer any questions during the Q&A, but I'll turn it over to Tom Gayner for the investment discussion.
Tom Gayner: Thank you, Tony. Good morning. I'm delighted to report several pieces of good news to you from the investment front. To start our investments results in 2009 were delightful. The total return for the portfolio was 13.2% for the year, that returned coupled with our underwriting profits produced comprehensive income to our shareholders of nearly $600 million or 27% on equity. Our book value per share reached the new all-time high of $286 and we've got good momentum on some very important front. 2009 shows the power of combining disciplined underwriting and thoughtful investing. And it stands as a wonderful rebound from the single digit decline in book value then we experienced during the financial asteroids storm of 2008. Over longer and more meaningful periods of time our five year compound annual growth in book value per share now equals of 11%. We are pleased with these results given the challenges in the financial markets. We hope you are as well. In our equity portfolio we earned to 24.9% last year modestly less than the S&P return of 26.5%. Personally, I'm pleased with this result both in an absolute and relative sense. In 2009 the market rally was led by companies that were re-bounding from near death experiences. Companies with highly leveraged balance sheets and shakier credit circumstances often times went up many fold and those sorts of firms posted sizzling one year results. By contrast, we own a portfolio consisting largely of steady Eddy, blue chip, durable, low leverage and high quality businesses. For us to have nearly matched the S&P return with our higher quality portfolio is a wonderful outcome. We earned an excellent return while taking a lot less risk, that approach has and should continue to pay off over time by avoiding wipeouts from which it is nearly impossible to recover. For the more important five and ten year periods with our conservative approach we've exceeded the S&P returns by 110 and 490 basis points respectively. The longer than timeframe the more meaningful the results and I would be delighted to signup for these kinds of relative returns for the rest of my carrier if possible. In our fixed income investments we are under total returns of 9.8% for the year. We enjoyed the triple play of earning the underlying coupon with only de minimis credit losses rising prices of our existing holding from lower rates and rising prices on our corporate credit security has credit spreads tightened in work. Going forward we've recognized that this multi parts stream of fixed income return is unsustainable. In the long run the most they can be earned from investing and fixed income markets as appose to engaging in the less than zero some gain of trying to out trade your competitors is the coupon. In fact we would not be surprise to see a pinch to returns from fixed income operation in general as we believe interest rates and a lot more room to go up and to go down. Consequently, we will continue to maintain a shorter the normal duration. We will also look to take our risks in the equity markets rather than the credit markets since we believe that prospective returns are better and the risks at roller. Additionally, as of usually the case foreign exchange affects our investment returns and then equal and opposite way from its effects underway. In 2009, the investment line shows an increase of 1.5% from foreign exchange. As always that gains shows up explosively in the investment results. Impossibly it came out the underwriting results since we try to maintain and matched book of investment assets against our insurance liabilities. The net result to Markel shareholders is it's close to zero as we can possibly make it. I take my head of and prove my colleagues in our treasury department and their efforts here. With a decade of activity now behind us, the cumulative translation account on our balance sheet shows of balance of only $3.8 million on our total balance sheet of over $10 billion. When you think about the volatility of currency exchange rates over the last decade that level of skills approaches the precision and takes the land airplanes on the top of a moving aircraft carrier and a rolling sea. I'm pleased to be able to show you that piece of evidence demonstrate that we really do run a match to book. Finally, during the fourth quarter, we completed two acquisitions in Markel Ventures. Panel Specialists in Temple, Texas know as PSI and the Ellicott Dredge Company in Baltimore, Maryland. I spoke about PSI during the third quarter call and described their skills at logistics and manufacturing and serving the higher education healthcare and other institutional furniture markets. Ellicott is a leading worldwide manufacture of dredges. Ellicott dredged the Panel market now and the company has 125 year history of market leadership. Ellicott did business in 22 countries last year and its brand and service capabilities are unmatched in the exciting world of dredging. While dredging may not excite the average person on the street, I couldn't be happier that the owner company, his products work 24 hours a day, seven days a week on a constantly new pile of inventory that mother nature provides on the same schedule. These two acquisitions doubled the roster of companies in our Markel Venture's group, which includes the AMF Bakery equipment company and Parkland Ventures. Given the size and materiality of the growth, we will begin reporting on their combined results as a separate line of business going forward. If you are interested, you can find more information about these companies and their products and services on the Markel Corporation website under the Markel Venture's link. For decades, we've selected investments in publicly traded securities by using the four part test of taking profitable businesses with good returns on capital run by honest and talented mangers with reinvestment opportunities and capital discipline at fair prices. PSI and Ellicott meet these requirements in space and we're delighted to add them to our group of earning of that Markel. As I mentioned in the third quarter call, the ability to be a control investor rather than a passive shareholder puts Markel in the position to direct the capital allocation and executive compensation decisions that either compound or detract from shareholder returns. Markel offers a unique and wonderful home for great businesses with managers who love their business and care about its long term future. As compared to private equity structures, the firms must resell themselves for liquidity purposes in the future years. We represent permanent capital and long terms homes for great businesses. I'm delighted with the businesses and managers that have joined us so far. And I ask you all as committed shareholders to get the word out about our effects. If you or someone you know have a great business that they love and care about and they would like to find a permanent home contact me and we will follow up. In total, to give you some sense of the dimension of this activity so far, we expect revenues in access of $150 million from this group in 2010 and attractive double digit profitability on our initial investments. We will opportunistically look to grow this activity overtime. Importantly, these activities also produce cash flow at the whole income level from Markel that is separate and distinct from that produced at the insurance company level. This provides us with additional options to aggressively deploy capital without the fetters normally seen at insurance companies. We expect the advantages of this structure to manifest themselves and grow over time. 2009 stands as a fantastic year for the investment operations. We had wonderful results in the traditional activities of an insurance company's normal investment operations. We steadily purchased high quality and attractively priced equity securities throughout the year. We increased the credit quality of our fixed income holdings. We maintained a fortress balance sheet with excess liquidity. We continue to maintain duration and balance sheet which will protect us from what we believe is in inevitable spike in interest rates. We productively deployed capital and kept a meaningful amount in reserve to be deployed when we see the combination of attractive investment opportunities and from our insurance markets. We also took the next steps in the crawl, walk, run process of adding majority earned holdings into the company. I could not be more excited about the options and the opportunities that these actions and decisions create for the Markel Corporation and its shareholders. I look forward to your questions and participation going forward. With that I will turn it back over to Steve.
Steve Markel: Thank you, Tom. 2009 is now history and we are fully engaged as always in building the value of Markel for the future. Pricing in the current insurance market continues to be channeling and we do not know when it will improve. But Markel strength is our strong culture in our long term view and the future is bright to your company. With that, we'll open the floor to your questions.
Operator: (Operator Instructions). Our first question is from the line of Beth Malone with Wunderlich Securities.
Beth Malone - Wunderlich Securities: Congratulations on the book value growth. I have several questions and I don't want to take up everybody's time, so I'm just going to ask a few and then get back into queue. First off on the reserve development that was experienced in the London operation that was significantly greater than a year ago and I just want to make sure is there something unique about a change in the mix of business or is something that would have resulted in that significant reserve development this year?
Steve Markel: Basically the biggest factor I think in the Markel International reserve development is the fact that the first several years after our acquisition, we were building our margins of safety and perhaps with the time we've got those margins built and we're enjoying the benefits of our conservatism. I'll let Richie comment on anything more specific that he is aware of.
Richie Whitt: Yes, Steve is absolutely right. I think also a piece of what's happening and I think we tried to talk about it a little bit, as we did have some favorable redundancies coming out of sort of the 2001 and prior areas which of course when we first got the Markel International were problematic. We worked very hard to get those reserves right and now we're actually seeing some favorable development out of those reserve years. So that's a piece of it and then of course we're starting to release the 2003 to 2006 redundancies that appear to be there. We do have some longer tail business there and so it's appropriate now after the amount of development we've seen to start releasing the reserves in that '03 to '06 periods.
Beth Malone - Wunderlich Securities: Okay, just one clarification on this. When you mentioned where the reserve development came from, you said it was financial risk division, I'm just curious, is that like directors and officers liability or something (inaudible)?
Richie Whitt: It's professional, it's primarily professional liability, its [DNO], accountant, lawyers also some profession as well as miscellaneous areas of the missions.
Beth Malone - Wunderlich Securities: Okay. And then just a quick question, I know this doesn't contribute a lot to the results but do you expect those is development that you add to every year, is there any I mean this stuff has to be pretty old by now. Does this go on forever?
Tony Markel: Well, I can talk a little bit about what we did, well it goes on for quite a while that's clear that we are getting to the point now where the reserves we are holding are very situations specific. We are down to the larger sorts of situations that you read about in the paper out there where we have relatively small participations on them. So nowadays, when we are moving reserves on asbestos something has typically happened on some of those larger cases that are out there.
Beth Malone - Wunderlich Securities: All right and then for Tom I guess you did kind of touch on it, but the yield on the portfolio in total has been lower than historic, primarily because you've got a significant amount of cash in short term in the portfolio relative to historic, where are you putting new money and do you anticipate that that proportion of short term cash is going to decline throughout 2010 or do you think it is too early to commit more capital right now?
Tom Gayner: Yes, Beth in fact the matter is obviously across the curve. Interest rates are lower than what they were a year or two or three ago and we are shorter in our duration than we have historically been and normally would be and that's because I remain concerned. I don't understand why interest rates are at the level they are right now. So I will incur opportunity cost for Markel and we'll continue to have a higher than normal balance at the front end of that curve and lower our investment income because there would be a really bad day when interest rates go up a lot and I want to have dry powder when I see it happen.
Beth Malone - Wunderlich Securities: Okay and obviously you don't have any kind of crystal ball to suggest that we're going to see higher interest rates anytime this year or what?
Tom Gayner: I have a crystal ball, but I've learned of being in the investment business for 30 years and it's a bad idea to look at it. I use magic eye ball instead.
Beth Malone - Wunderlich Securities: I just have a couple of these are more administrative kind of issues like with the other income and other expense information that's now being provided, are you all going to provide us with, it looks like you changed 2008, you restated 2008 to reflect the way it's been recorded now and so I guess pro forma, are we going to get that information for the three quarters of 2009 or well we only see it when you guys report there quarters of 2010?
Richie Whitt: Beth, this is Richie. Yeah, we're going to go back and make those numbers in prior year reports consistent with the presentation that we're giving you now in the fourth quarter. And I noticed in some of the reports that we're out late last night and this morning people who are saying how can I roll from third quarter to fourth quarter, well you can't because third quarter, we did not do well. Of course, three of the entities we've had not been purchased and because of any materiality we had not used consolidation accounting on AMF and Parkland. So people who are having that difficultly will have table and quarterly tables in the Annual Report will have those things reformatted for consistency. So that will be in the Annual Report.
Beth Malone - Wunderlich Securities: Okay, one another thing about that there is 60,000 more shares outstanding according to your year end 2008 calculation compared to what was reported previously, is that also part of that adjustments?
Richie Whitt: That does not ring a bell, Beth.
Beth Malone - Wunderlich Securities: Maybe we can talk, I don't want to take up the time on a conference call.
Richie Whitt: Let us, I mean we've been buying back shares. We can talk about that, we'll give you a call, look at it and give you a call.
Beth Malone - Wunderlich Securities: The other thing I need to call on is just a breakdown between the loss expense by division, which is in either only provided in the 10-Qs and 10-Ks, it will be a while. But other than that thank you and I'll get back in queue.
Operator: Thank you. Our next question is from the line of Mark Hughes with SunTrust.
Mark Hughes - SunTrust: Thank you. The reserve development in the other category for the full year what was that number?
Steve Markel: Richie, do you want to pick up on that?
Richie Whitt: Yes, it was roughly $10 million for asbestos, I think everything else was pretty much flat in the other category for the year.
Mark Hughes - SunTrust: That was the $10 million, okay. And then talking about the London reserve development, you say you are starting to release reserves in '03 to '06, excellent years, is that right just to starting to release the reserves?
Tom Gayner: No, we've been releasing in the '03 to '06, but I think that is primarily where the releases in the fourth quarter came from and in addition, as I said 2001 and prior we saw some favorable come out of those years as well, which obviously because of the volatility back in those years, we held those reserves a pretty good while to see how things we're going to settle out. So those are the two areas we have been releasing '03 to '06 for a while now.
Mark Hughes - SunTrust: Is there way to say just more broadly how you feel about your reserve position now compared to where we were a year ago, obviously favorable development in there now?
Steve Markel: Mark, obviously the company has been unchanged for quite a few years and our goal is to set reserves at a level that we think is more likely redundant and decisions. We look at every division or every piece of business on a product line basis. We worry about all the bad things that can happen. And at the end of the day we try to select a number where we try to margin our safety, that's appropriate. So the exposure that we're facing because none of us really know exactly what's going to happen in the future and the nature of the business, things are constantly changing. On a quarterly and an annual basis, we want to be very, very consistent and we do not want reserve releases to distort the annual profit and loss statements. So the thought process is that in the aggregate, while their individual product lines might be bouncing around, in the aggregate we wanted the margin (inaudible) to be very consistent year after year after year. And so we believe very strongly that each reporting period results are as strong as they were in the prior periods. And so the margins that we're creating on business that we are writing today are similar to the margins that are being related for all of the prior periods, such that that creates the consistency that we think is appropriate for our business. Today on new business we're scared to death just of the inflation in the next three to five years. So we're consciously thinking about what will that do to our loss reserves. We know that there is a tremendous amount of price pressures and while we think we're holding the line as best as can on most product lines, if our prices are long and more likely to be too low than too high in the current environment. So we're conscious of that potential exposure in setting loss reserves. So we're continually trying to make sure that we have an appropriated margins safely on our loss reserves and this is very, very consistent because we're not trying to manage reserves or manage the P&L at all what we are trying to do is manage the quality of our balance sheet and make sure it's consistent.
Operator: Our next question is from the line of John Fox, Fenimore Asset Management.
John Fox - Fenimore Asset Management: I have a question on the other line on what's in there and what it is. So if you could just go through which of the Markel venture investments are included in there at this point?
Steve Markel: Richie you want to pick up on that?
Richie Whitt: Yes. Other revenues, other expenses, John, is going to be before that Tom mentioned, and I'll just go through panel specialists, Ellicott Dredge. Ellicott Dredge, we only purchased that on November 1, and we're going to report numbers on a one-month lag, so Ellicott there is nothing in there for Ellicott in the year-end numbers going forward it will there, AMF and ParkLand ventures.
John Fox - Fenimore Asset Management: You also bought I believe, Elliott Special Risk and you've investment in a bank in the Richmond area, where are those included?
Richie Whitt: ESR is also, Elliott Special Risk is also in other revenues and other expenses.
John Fox - Fenimore Asset Management: Okay
Richie Whitt: First Market Bank just recently the transaction, I believe closed this week. First Market Bank has historically been in investment in affiliates, now but the transaction is closed First Market Bank is just going to be a public equities security like any other public equity security and will be in our equity security line.
John Fox - Fenimore Asset Management: Right, that makes sense. And do you have the breakout of public equities and private equities at 12/31 on the balance sheet?
Richie Whitt: I don't have that in front of me, John.
John Fox - Fenimore Asset Management: Okay. I noticed the written premium up in London in the quarter, which is different from the other segments and different from other recent time period. So what's going on there is that sustainable, are our opportunities better on the London overseas market, could you just address that?
Richie Whitt: You have to be a little careful because of the currency effect. I think one in was sort of flattish in the fourth quarter and they were flat for the year. And so I think we've talked about it throughout the year for whatever reason London has been slightly stronger markets than what the U.S. market seem to be right now. But they were relatively flat for the year.
John Fox - Fenimore Asset Management: Okay and for 2010, also normal tax-rate, given your mix of munis and other things you had going on?
Richie Whitt: And this is I know there is a lot of interest in our tax line in some of the reports last night. It's going to be more volatile going forward because of our international operations and the fact that they are pretty profitable now and becoming a bigger part of that profit as we go forward. So there's going to be a decent amount of volatility just because of the way taxes work on foreign operations, we would think all things being equal. We're going to be in the high 20s to low 30s in terms of the tax rate next year.
John Fox - Fenimore Asset Management: That's this year, Richie.
Richie Whitt: That's the way I think about 2010.
John Fox - Fenimore Asset Management: Right, yeah.
Richie Whitt: You got to remember we're finance; we're still in last year 2009.
John Fox - Fenimore Asset Management: I hope the other guys are moving ahead.
Richie Whitt: Yeah, we are. We are.
Operator: Our next question is from line of David West with Davenport & Company.
David West - Davenport & Company: Just a clarification, I thought the Elliott Special Risks was part of the international operations, the prior response indicated that's included with the other venture investments?
Steve Markel: Yes, David, and it's in other revenues and other expenses and the reason for that is, it is primarily commission income to us today, because Elliott writes something like $90 million of business and until we put all of that business on Markel paper, basically an MGA operation. And so we felt it was more appropriate to put it in other revenue, other expense. As we go throughout 2010, we are going to be converting Elliott business to our own paper, and so it will basically come out of those ones, those other revenue, other expense lines and into Markel International's underwriting results as premium at that point.
David West - Davenport & Company: Very good, I appreciate that clarification. You also reported this time a non-controlling interest order that's still referred to as a minority interest. Is in sense Ellicott is not fully in the numbers this time, what does that figure represent, what minority (inaudible) did that represents?
Richie Whitt: David, we are a little over 80% of Ellicott, so the way the accounting works when you have minority interest is we will consolidate a 100% of their balance sheet, a 100% of their revenues and expenses and then recognize a minority interest in our equity section and it's a bottom of their P&L for the minority interest, the 20% of minority interest. So that's how the accounting works for any of Markel Ventures, acquisitions where management or prior shareholders would pay in some portion of the ownership.
David West - Davenport & Company: Okay, great. Right now that's (inaudible)?
Richie Whitt: It's Ellicott, actually it's also AMF. AMF I think we're about 80%, little over 80% on AMF, a little over 80% on Ellicott where 100% of PSI and we're about 80% on ParkLand Ventures. Also just one more point of clarification, I know this is the first quarter and I just want to make sure everybody has it straight in their mind, while we are including PSI, Elliott Special Risk in other revenue and other expense, it is not part of Markel Ventures. As I said, it is going to become part of Markel International as that business is written on Markel International's paper.
David West - Davenport & Company: And lastly, in these transactions and some of Markel Ventures, knowing your company's attitude toward granting stock options and so forth, do you use the Markel stock has have an incentive in any of these minority interest?
Tom Gayner: I'll answer to that, David, the answer is no.
Operator: Our next question is from the line of Meyer Shields with Stifel Nicolaus.
Meyer Shields - Stifel Nicolaus: Richie, connected the tax credits in the quarter that you referred to us in the press release?
Richie Whitt: Meyer, I noticed, I know that there were some confusion around that and we probably should have done a little more education around our numbers in the third quarter related to tax. So, let me just kind of step back for second if I could and try to answer it this way. In the third quarter and for the nine months you'll remember us talking about a change in the U.K. tax laws and resulted in a pretty significant benefit from Markel Corporation. The way you do your tax provisions is, you're forecasting your tax rate your effective tax rate for the full year. Okay, and so when we came up with our tax rate last quarter, and I believe it was negative 4% or a benefit of 4% that was our best estimate of the rate for the full year including that tax benefit from the U.K. tax law change. If you role forward to year-end, the tax benefit for the full year is about a negative 2%. So pretty closely in line, quite honestly, with what we estimated at the end of the third quarter. So there is nothing really too crazy going on in the fourth quarter, it's really the mechanics of how you come up with your effective rate for the year and we probably should have talked about that a little more, third quarter, so you guys would know what to expect when we released the fourth quarter results.
Meyer Shields - Stifel Nicolaus: Okay, I think that's helpful. With regard to the various underwriting segments, when we look at accident year combined ratios, I think we can consummate that on a quarterly basis for excess and surplus in the London market, it's been hovering around 110%, can you talk a little bit about how comfortable we are with that and maybe some, I guess, how much of that is a problem? How much of that is reserve conservatively?
Steve Markel: Clearly it's part of both, because we do in the accident year, as I described earlier, try to make sure that we have a margin that's basically in our numbers and more likely redundant and (inaudible). We do have, as I mentioned, concerns about increased claims activity in the recessionary environment and future inflation and so. All of that is part of the process, but the prices are not as strong as they need to be and I think across the industry we will see that most insurance companies today in the accident year basis are not making underwriting profit margins that are appropriate for this business and that makes the change.
Meyer Shields - Stifel Nicolaus: Okay, and one last question if I can on the other revenues and expenses, is the margin that we saw in the fourth at all a good, just for forecasting?
Richie Whitt: I'm sorry Meyer, could you say that again?
Meyer Shields - Stifel Nicolaus: Yeah, we calculated about a 12% margin on the Markel Ventures and other line. Is that run rate or…?
Richie Whitt: No, I would say not because Ellicott really isn't in there yet, because as I said, purchased them, well, my guess is November 30th, I think I misstated that earlier, I think I said November 1st, it is November 30th, and we are going to report their results on a one month lag so there is nothing in that for Ellicott right now. Tom, you might just want to talk about what you are expecting in terms of return on the investments.
Tom Gayner: Yeah, we'll let that develop as the year goes by, but $150 million of revenue and a double digit sort of profitability would be a rough swag, we're going to get started and we will report on that as the quarters' rollback.
Operator: Our next question is from line of [John Meth with Akre Capital Management].
Unidentified Analyst: Just one question and that would that given your expectation of three percentage points of additional cost pressure from the One Markel initiative at 2010, I assume you are still pending on underwriting profitably this year. So I just wanted to get a sense, does that additional three point hurdle, with that in the mix, should we necessarily expect there to be downward pressure on gross written premiums this year in terms of the volume?
Tom Gayner: We are optimistic that the benefits of One Markel are also going to start in terms of providing more products to more agents and while we don't see a huge improvement, I think we're hopeful that the top line doesn't decline and starts moving in the proper direction, there couldn't be anymore specifics than our hopes and desires at this point in time.
Richie Whitt: Hey [John], I might just add and I just want to make sure you are clear on what I said, it was about two points on the combined this year, we think it will be about three points on the combine next years, so it's an incremental one point on the combined.
Steve Markel: And [John] I might add that clearly we are not impervious to the reduction in margins that the pricing pressure has created hell over the last four years. But I have a lot of confidence in that people that we're still producing underwriting profits and one of the existing things about One Markel is the realization of the old outage is selling new products through old customers, the amalgamation of all of those four operating subsidiaries into this one platform gives us the opportunity to spread the production into a lot of old very loyal larger supporter of us, who really had not taken advantage of our entire product offerings. So we think that frankly by selling the entire spectrum or suite of products that we have through these wholesalers as a result of the One Markel initiatives, that we can get it done without, frankly increasing for the pressure on the rates and that's why I'm optimistic that in spite of the fact that the market is not going to in my estimation not going to give us much of an artificial wind back this year that there is a good chance that we are going to show some gratifying growth as a result of just spreading our tentacles further into our existing channel partner operations.
Operator: Our next question is from the line of Mark Dwelle with RBC Capital Markets.
Mark Dwelle -RBC Capital Markets: Most of the question have already been pretty thoroughly beat, but catch on one last time. I just want to make sure I understand the mechanics on the tax rate, the thought for next year, for 2010, I'll say, a more traditional looking tax rate for the year, which is to say as you said, high 20s to low 30s, so that means the benefits of the credits or the tax law change. Those are isolated to the '09 year; they will not carry through into the '10 year?
Steve Markel: Yeah, Mark, you're absolutely right. Those are isolated to this year, there is no kind or repeat of the things next year unless the U.K. government decides to handout some more gifts, which I don't see that happening. So next year, like I've said, high 20s, low 30, but I have to stress now that Markel Internationals is solidly profitable and actually a larger percentage of our profit given their strong results in a tough U.S. market, we are going to have more volatility in what those tax rates could look like just because of the way that foreign tax code works. How overseas operations are treated for U.S. tax, so that's our best estimate today, but it is subject to some volatility just given those caveats.
Mark Dwelle -RBC Capital Markets: Okay, and my same question relates to, you commented in terms of the three combined ratio points related to One Markel, this year was two points and going through quarter-by-quarter usually the amount was somewhere between $9 million and $10 million, are you saying that the actual amount of cost on a quarterly basis is going to accelerate from that level, or are you saying because the numerator that we are using for the years actually to be lower than the average numerator for last year, that's why that ratio is going up?
Steve Markel: Well, the costs are going to accelerate in 2010, Mark, this the build year. We are heading into build mode on a lot of the systems and that's where you spend big part of the money. So the cost is going up, obviously with volume having been down that's a bit of the issue as well. But yes, costs will be up in 2010 and I think this is the high water year for cost.
Operator: Our next question is from the line of Jay Cohen with Banc of America.
Jay Cohen - Banc of America: Just to call up on that last question. The cost from One Markel, I had assumed that '09 would be the piece, I'm not sure why, it's not that. Is this a change in your expectation, the fact that the incremental expenses to go up a little bit in 2010?
Steve Markel: Jay, I'm trying to think that, but I think we have always said that this was the big year. Well, yeah, and somebody just mentioned maybe there is a little confusion on we did implement the business model in 2009 and obviously there were certain costs surrounding that. The piece we're really talking about now, the technology initiative that will support the business model going forward and we sometime have referred to it as Atlas, when we go back and forth between Atlas and One Markel, that piece has always been, the thought has always been that 2010 was the sort of the peak year in terms of costs.
Jay Cohen - Banc of America: Okay that makes sense, and then the second question. It looks like the expense ratio did tick-up in the second half of 2009, I'm assuming some of that is bigger accruals because of the book value growth, is that accurate?
Steve Markel: Jay that's exactly correct. Starting out the year, we were actually taking bonus accruals down because we were concerned about what results might look like for the year, as the year progresses, the world came better and as a result it looks better. We started putting up heavier bonus accruals to catch up. So the third and fourth quarter were hit disproportionately with bonus accruals.
Operator: Thank you. Our final question is a follow-up question from the line of Beth Malone with Wunderlich Securities.
Beth Malone - Wunderlich Securities: Okay, I have two follow ups, one is what was the tangible book value at year end '09?
Richie Whitt: Beth, tangible book value per share $231 a share.
Beth Malone - Wunderlich Securities: And then just a follow-up on comments that Steven made about inflation. It sounds like that's something of a greater concern and I'm wondering is there any positioning or strategizing you can do in anticipation of inflation either in your pricing or how you're reserving, do you assume inflations going up when you are setting aside these reserves?
Steve Markel: We clearly [include] a concern about it and if we have to pick a number before X and Y, you add something to the probability that there is more inflation in the future than we've had in the past. And so yes, we are including something in the current picks, so we try to compensate with that. Whether it's enough then you don't know what inflation will be five years from now, so we don't know that we're picking the right number, but picking something greater than zero make sense, and so we're doing so and probably more so than others in the business. I can't quantify for you that the system is part of the overall projected judgment and part of what I actually was trying to deal with. Ladies and gentlemen, I want to thank you all for participating in Markel's fourth quarter conference call. As always, we will be available if you have any further questions or comments, don't hesitate to let us know and we thank you for you continued support. I wish everybody a good day and we'll talk to you next quarter.
Operator: This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.